Operator: Good morning, and welcome to Cracker Barrel's First Quarter Fiscal 2025 Conference Call. All participants will be in a listen only mode [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Adam Hanan, Director of Investor Relations. Please go ahead.
Adam Hanan: Thank you. Good morning, and welcome to Cracker Barrel's first quarter fiscal 2025 conference call and webcast. This morning, we issued a press release announcing our first quarter results. In this press release and on this call, we will refer to non-GAAP financial measures such as adjusted EBITDA for the first quarter ended November 1, 2024. Please refer to the footnotes in our press release for further details about these metrics. The Company believes these measures provide investors with an enhanced understanding of the Company's financial performance. This information is not intended to be considered in isolation or as a substitute for net income or earnings per share information prepared in accordance with GAAP. The last page of the press release include reconciliations from the non-GAAP information to the GAAP financials. On the call with me this morning are Cracker Barrel's President and CEO, Julie Masino; and Senior Vice President and CFO, Craig Pommells. Julie and Craig will provide a review of the business, financials and outlook. We will then open up the call for questions. On this call, statements may be made by management of their beliefs and expectations regarding the Company's future operating results or expected future events. These are known as forward-looking statements, which involve risks and uncertainties that, in many cases, are beyond management's control and may cause actual results to differ materially from expectations. We caution our listeners and readers in considering forward-looking statements and information. Many of the factors that could affect results are summarized in the cautionary description of risks and uncertainties found at the end of the press release and are described in detail in our reports that we file with or furnish to the SEC. Finally, the information shared on this call is valid as of today's date, and the Company undertakes no obligation to update it, except as may be required under applicable law. I'll now turn the call over to Cracker Barrel's President and CEO, Julie Masino. Julie?
Julie Masino: Good morning, and thank you for joining us. We were very pleased with our Q1 results, which underscore the fact that our entire organization is aligned and executing against our three imperatives: driving market share, delivering food and experiences guests love, and growing profitability. Let's review some highlights from the quarter. We delivered positive comparable store sales for the second consecutive quarter, driven by improved traffic and strong average check growth. And we're proud that comparable store sales performance also outperformed the Black Box Casual Dining Industry by 290 basis points. Digging deeper, we continue to see improved traffic trends in the important dinner day part. In fact, we've delivered sequential improvements in dinner traffic over the past four quarters. New menu items such as the Hashbrown Casserole Shepherd's Pie and Pot Roast are resonating with guests. Our optimized pricing initiative is delivering strong flow-through. We're driving improved value perception scores and improved key operational metrics. Notably, hourly turnover improved by 17 percentage points. Cracker Barrel Rewards is delivering incremental sales and traffic. And finally, our four pilot remodel stores are collectively experiencing a sales and traffic lift, and we are encouraged by the early results in our first remodel market in Indianapolis. This progress is evidence of strong operational execution by our team. I want to remind you all that this is really the first quarter of executing the new plan after months of evaluation and planning. Given that fact, we are excited about the quarters and years ahead, and I want to assure you that we are intensely focused on profitable growth and long-term value creation. Our transformation plan consists of five pillars, as many of you know. One, refining the brand; two, enhancing the menu; three, evolving the store and guest experience; four, winning in digital and off-premise; and five, elevating the employee experience. We're making progress on all of them. But today my remarks will largely focus on pillar two, enhancing the menu; and pillar three, evolving the store and guest experience. Pillar two is enhancing the menu, which is all about making it more craveable for guests and easier to execute for our team. This pillar also includes optimizing our pricing while maintaining our strong value proposition. Our Q1 menu promotion featured a new Hashbrown Casserole Shepherd's Pie, which was wildly popular, as well as our new Fried Apple French Toast Bake. Our November menu promotion featured our seasonal guest favorite, Country Fried Turkey, and a new Cinnamon's Roll French Toast Breakfast. And we are excited about the additional innovation that's in our pipeline. We remain focused on strengthening our value proposition through our barbell pricing strategy and continue to highlight exceptional value offerings such as our Sunrise Pancake Special for $7.99 and our Early Dinner deals starting at $8.99. In Q1, we augmented our daily dish menu by adding several new daily specials, such as our sweet tangy Southern Barbecue Ribs; creamy and savory, Chicken and Rice; and our delicious Low Braised Pot Roast. The Pot Roast has been particularly successful, and as a result, we listened to our guests and have now made it available every day. And on the premium end of our barbell, our New York Strip offerings continue to resonate. We've been pleased with the performance of our new menu items. In fact, in some cases, such as the Shepherd's Pie and Pot Roast, they've been so popular with guests we've had to source additional product to meet the high demand. This menu innovation has contributed to the improvement in our traffic trends, particularly at the dinner day part. In fact, our Q1 dinner traffic improved over 600 basis points compared to the prior year quarter and 200 basis points compared to Q4. Dinner will be a key driver for our overall success and, although early, we're making progress. Another way we're enhancing our menu is through our back-of-house optimization initiative to drive efficiencies that improve profitability while making jobs easier and more enjoyable. This is a multiyear initiative that will be completed in several phases. The first phase is focused on process improvement. And one way we are doing this is through a just-in-time approach for certain items to more efficiently use labor, reduce waste and, importantly, improve product quality. We are encouraged by the results of the test in approximately 20 stores in Q1 and are expanding it to a full region in the coming weeks. In Q3, we plan to launch the first phase to the system. We're also enhancing our menu through our price optimization initiative. As we've discussed, our refined pricing methodology is based on criteria, including consumer willingness to pay, competitor pricing and store operating costs. We've been pleased with the results as we continue to see strong flow-through while simultaneously driving improved value scores. Turning to pillar three, evolving the guest experience, encompasses several things. First, operational execution; second, store design and atmosphere; and third, retail. With regard to operational execution, we continue to see progress across key operating metrics, such as guest satisfaction, hourly turnover, average server and grill cooks skill level, speed metrics and off-premise missing item rate. I want to give a shout-out to our teams for their tireless work and strong execution during Thanksgiving week. Your efforts created a great holiday experience for millions of guests and help deliver an important week for the business. Store design and atmosphere are critical to the guest experience and to position us to win in the near and long term. And our remodel program is an important way we are addressing these. To reiterate an important point I've made previously, fiscal year '25 is a test-and-learn year for remodels. We are working to understand which remodel packages resonate the most with guests and drive the strongest returns. These learnings will inform our plans and spend in the subsequent years. We continue to see a collective lift in sales and traffic in the four pilot stores that were updated in fiscal year '24. So far in fiscal year '25, we've remodeled another 19 stores and completed 12 refreshes. This includes the 12 stores we updated as part of our first market test in Indianapolis, the majority of which are refreshes. We're also incorporating other new elements, including new menu items and a new employee dress code. We're encouraged by the early results, and later this week, we will be turning on local marketing to further raise awareness. For the full year, we continue to expect 25 to 30 remodels with approximately half of these being the low version. We also continue to expect 25 to 30 refreshes in '25. In retail, we're leaning into our seasonal themes. Our Harvest collection performed well, and we're encouraged by the performance of our Christmas themes and are looking forward to perennial favorite collections that are about to hit the floor. As we've discussed, our retail business, as well as the broader retail industry, has faced headwinds. However, it remains a huge differentiator for our brand, and we believe there is meaningful opportunity to unlock profitable growth. To achieve this, we've been conducting extensive research and are in the process of revamping our retail strategy. We're in the early stages and look forward to sharing more in the future. In closing, our fiscal year is off to a very good start. Our initiatives are gaining traction and we're focused on sustaining this momentum. Before turning it over to Craig, I want to thank our shareholders for their constructive engagement over the past few months and for their support for our strategic transformation plan. We are grateful for the trust they have placed in our directors and management, and we remain accountable and are confident we are on the right path to return Cracker Barrel to growth and meaningful value creation for all shareholders.
Craig Pommells: Thank you, Julie, and good morning, everyone. As Julie noted, we are gaining momentum, and while still early, are on track for delivering our three-year strategic transformation plan. In Q1, there are a few moving pieces that I will touch on. But overall, we are pleased with our underlying operational performance, and results were in line with our expectations. We reported total revenue of $845.1 million, which was up 2.6% from the prior year quarter. Restaurant revenues increased 3.4% to $683.3 million, and retail revenues decreased 0.8% to $161.8 million. Comparable store restaurant sales increased 2.9% over the prior year. Pricing was approximately 4.7%. Our quarterly pricing consisted of approximately 2.8% carryforward pricing from fiscal 2024 and 1.9% new pricing from fiscal 2025. Additionally, our Q1 sales results also benefited from a timing shift related to gift card breakage of approximately $6 million. This timing favorability, which also benefits EBITDA by the same amount, will mostly be offset in Q2. Off-premise sales were approximately 18.4% of restaurant sales. Comparable store retail sales decreased 1.6% compared to the first quarter of the prior year. Our decor and toys categories saw the largest declines, partially offset by increases in our kitchen food and bed and bath categories. Although retail sales were soft, we were pleased with how the team effectively managed inventory levels, which were below prior year. Moving on to our first quarter expenses. Total cost of goods sold in the quarter was 30.6% of total revenue, versus 31% in the prior quarter. Restaurant cost of goods sold in the first quarter was 26.1% of restaurant sales, versus 26.2% in the prior year quarter. This 10 basis point decrease was primarily driven by menu pricing. Commodity inflation was approximately 1.9%, driven principally by higher dairy, beef and pork prices, partially offset by lower poultry, oil and produce prices. First quarter retail cost of goods sold was 49.7% of retail sales, versus 50.4% in the prior year quarter. This 70 basis point decrease was primarily driven by higher vendor allowances and higher initial margin. Our inventories at quarter-end were $201.9 million, compared to $207.3 million in the prior year. With regard to labor costs, our first quarter labor and related expenses were 36.4% of revenue. Compared to the prior quarter, labor and related expenses decreased 60 basis points, primarily driven by menu pricing and improved productivity, partially offset by wage inflation of approximately 3% and an approximately $2 million increase in our workers' compensation expense reserves following an update of the actuarial assumptions used to calculate these reserves. Other operating expenses were 25% of revenue. Compared to the prior quarter, other operating expenses increased 30 basis points, primarily driven by higher depreciation and approximately $2 million increase in general liability expenses following an update of the actuarial assumptions used to calculate these reserves and approximately $1 million in expenses related to our District Manager Conference, which we held in person for the first time since the pandemic. Additionally, I want to note that total store operating expenses also include an approximately $1 million unfavorable impact related to the hurricanes. Adjusted general and administrative expenses in the first quarter were 6.3% of revenue. Compared to the prior quarter, adjusted G&A increased 90 basis points, primarily due to investments related to our strategic transformation, more normalized incentive compensation and approximately $3.3 million in legal settlement expenses. As a reminder, our adjusted G&A expenses exclude professional fees related to our strategic transformation initiatives and expenses related to our proxy contest. Before moving on and given the moving pieces, I want to provide a quick recap of the atypical items I called out, all of which are included in both our GAAP and adjusted results. On the expense side, there were four of these items that I mentioned. First, we increased our workers compensation and general liability reserves by approximately $2 million each, for a total of $4 million. These increases flowed from changes to actuarial calculations associated with these reserves. Second, we recognized a charge to G&A of $3.3 million in connection with an advantageous settlement of a series of wage and hour arbitrations that occurred in early November. Third, we saw a $1 million expense impact from the hurricanes. And finally, we incurred approximately $1 million in expenses related to our District Managers Conference. These negatives were partially offset by $6 million in favorability resulting from a timing shift of gift card breakage, although this breakage favorability will be largely offset in Q2. I hope that provides some clarity around what we believe was a successful operational quarter. Moving on to net interest expense for the quarter, which was $5.8 million, compared to net interest expense of $4.9 million in the prior quarter. This increase was primarily the result of higher debt levels. Our GAAP income taxes were a $3.6 million credit flowing from GAAP earnings before taxes. Adjusted taxes were a $2 million credit. First quarter GAAP earnings per diluted share were $0.22 and adjusted earnings per diluted share were $0.45. In the first quarter, adjusted EBITDA was $45.8 million or 5.4% of total revenue, compared to $43.9 million or 5.3% of total revenue in the prior year quarter. Now turning to our balance sheet. We continue to have a strong balance sheet that provides flexibility and allows us to invest in the business to drive profitable growth and long-term value creation. In the first quarter, we invested $38.9 million in capital expenditures. We ended the quarter with $527 million in total debt. Lastly, as announced in today's press release, the Board declared a quarterly dividend of $0.25 per share, payable on February 12, 2025 to shareholders of record on January 17, 2025. Before providing our outlook, I want to comment on Q2. First, we were pleased with our Thanksgiving week results, which were in line with our expectations. This is an important week given the high volume, and I am so proud of how our teams executed to deliver against our plans. Second, as noted earlier, we expect a headwind in Q2 related to the timing shift of gift card breakage, as the $6 million EBITDA favorability we experienced in Q1 will largely be offset by unfavourability in Q2. Now turning to our fiscal 2025 outlook. I want to remind everyone that we view fiscal '25 as an investment year as many of our initiatives are in the early stages. And we anticipate our financial results will significantly improve by the second half of FY '26 and further accelerate into FY '27. For FY '25, we reaffirm our outlook and continue to expect the following. Total revenue of $3.4 billion to $3.5 billion. Pricing of approximately 5%. The opening of two new Cracker Barrel stores and three to four new Maple Street units. Commodity inflation of 2% to 3%. And hourly restaurant wage inflation of 3% to 4%. As a reminder, we expect our adjusted G&A expenses will be elevated in fiscal '25, both in dollars and as a percent of sales, primarily due to investments related to our strategic transformation initiatives as well as a more normalized incentive compensation. However, we expect that G&A as a percent of sales will begin to normalize as our financial performance improves in the second half of FY '26 and into FY '27. Taking all of the above into account, we continue to anticipate full year adjusted EBITDA of approximately $200 million to $250 million. I want to remind everyone that this excludes consulting fees related to our strategic transformation, which we expect will be approximately $5 million to $10 million, as well as approximately $8 million in expenses related to our proxy contest. Regarding interest expense, based on current market conditions, we expect that we will refinance our $300 million convertible debt later this fiscal year. Given the current rate environment, we expect that the coupon rates on our new debt instrument will be meaningfully higher than our existing coupon rates of 0.625%, and as a result, we expect our interest expense will increase following this transaction. We expect a full year GAAP effective tax rate of negative 7% to negative 11% and an adjusted effective tax rate of 0% to negative 4%. We anticipate capital expenditures of $160 million to $180 million. In closing, our fiscal year is off to a good start, and our transformation plan remains on track. Our teams are executing at a high level, and we are focused on sustaining this momentum to deliver on our commitments. With that, I'll now turn the call over to the operator for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question today will come from Dennis Geiger of UBS. Please go ahead.
Dennis Geiger: Great. I appreciate all the color as well as the detail or some of the color on Thanksgiving. Craig, wondering if you could talk a little bit more about that 2Q-to-date period maybe and kind of what you're seeing, if you're seeing overall kind of a continuation of that momentum. I know Thanksgiving is a big part of that. But just if any -- any additional color on the most recent quarter-to-date period?
Craig Pommells: Dennis, thank you. Yes, Thanksgiving, as you know, is a very important week for us. We have our big heat-and-serve business that we do during the Thanksgiving week. Overall, we are pleased with the way that Q2 has gone so far. As a little bit of a reminder, if you think back to last year in our Q2 call then, we actually set a number of records for the Thanksgiving week last year. But as we reflected in that and did the diagnostics, a couple of things came out of that. Number one, the guest experience wasn't exactly where we wanted it to be. Number two, the employee experience wasn't where we wanted it to be either. And the flow-through, the profitability of all of that wasn't where we wanted it to be. So, on the one hand, we're doing a tremendous amount of work to drive the top line record, but we didn't think that was a sustainable approach for the business. So, the team did a lot of work there and made some significant changes that we have implemented this year. And we're really happy with how that's played out. In fact, this year, we had a bit more of an emphasis on the dine-in occasion, and we're really happy with that. So, all in all, a lot of moving pieces there, but we're happy with how it all came together.
Dennis Geiger: That's great. One more, if I may. As it relates to the strength you saw in the first quarter, it sounds like progress against a bunch of the strategic plans, including dinner. I want to touch on the loyalty piece, and if there's just -- if there's anything more to share there. It sounds like you like what you're seeing from an incremental sales and traffic perspective. Any more breakdown as far as frequency or kind of other benefits that you're seeing thus far from the program?
Julie Masino: Dennis, thanks for the question. We shared a lot about the loyalty program on the last call. So, I'll just remind that we're at over 6 million members. We are really pleased with the progress of the program. These guests are coming more often, they're spending more with us, and they have a higher check than nonmembers. What I will say is we continue to test and learn with this group and really think about how we use them to power the business going forward. And that's really exciting for us, and for them, because they really love Cracker Barrel. One of the big things that we learned in Q1 is their propensity to spend in retail, and we did some testing around that with some offers with salt and pepper shakers and discounts on retail and different things like that to really drive their occasion in their basket, all of which were incremental and exciting, and we were able to flow them all through. So more to come there, Dennis. Continues to be a bright spot in our journey, that pillar four, about winning with digital and loyalty, and all of those experiences continues to be a focus for us. So, thanks for asking the question.
Operator: Our next question today will come from Brian Mullan of Piper Sandler. Please go ahead.
Brian Mullan: Just a question on your efficiency efforts and the back-of-the-house work. As you continue with your test and then deploy some of the system-wide in Q3, can you give some examples or some specifics around what areas of the P&L do you think will start to see some benefits as we get this deployed?
Craig Pommells: Brian, it's Craig. I'll start, then Julie can jump in. The initial stages are primarily going to be about our own labor. We expect that we will see improvements in labor productivity coming out of the kitchen. But we also expect, from a job satisfaction perspective, we expect it to be a better experience for our employees because it will be easier. So primarily labor, maybe a little bit of waste and then an improved employee experience. It's a part of a multiyear journey. So, we laid out the three-year plan, $50 million to $60 million in kind of structural cost savings. And this is kind of the very, very early stages of that. So much more to come over the three years.
Brian Mullan: Okay. And then just a question on the retail business. I guess one, just talk about your outlook for the upcoming holiday season. Anything you could offer on the consumer in a realistic way to think about the top line there would be helpful just given how important the 2Q is from a seasonal perspective? And separate from that, the gross margins looked really good in the first quarter. I'm just wondering how we should be thinking about retail gross margins from a full year perspective.
Julie Masino: Sure. I'll start and then Craig can jump in. Look, we're really pleased with how the team is managing the retail business. As you know, the industry is facing a lot of headwinds. It's a tough business out there. It's super discretionary, when people are feeling pinched in their wallet, this is really a place that they do cut back. But for us at Cracker Barrel, it's such a key differentiator. It makes our experience so wonderful. You could just start and finish your Cracker Barrel journey in the retail shop. So again, real pleased with how the team's managed inventory levels. You probably heard from Craig's prepared remarks, inventory levels are down, margins are up. We feel good about where we are right now. We did a new promotion in storage. You may have seen it. It kicked off on Black Friday. We're calling it Seasons of Savings. Runs for 10 days, so into next week, where we're highlighting great gifts at key price points. Now we always have our great gift assortment this time of year, but this is even a plus up on that. We're really getting behind it with some social marketing and things like that. So, you're probably seeing a little bit more of it. Early stats, it's resonating with guests. We're excited about it. It gives the associates something to talk about as well in store. So, we're feeling good about the holidays. Now remember, there's fewer shopping days as a result of leap year and the late Thanksgiving. But given our inventory position and margin position, we feel like we are poised to really take advantage of that. Plus, we get that extra weekend before Christmas. So, we're -- we think we are poised well to capture the last-minute shoppers. We know all you men wait until the last minute. So, we're here for you at Cracker Barrel.
Craig Pommells: That's right, Julie. We do always for the last-minute shopping, yes. As it relates to retail margins, we were a bit ahead in Q1. However, the environment from a brick-and-mortar retail perspective does remain challenged. So, we expect across the full year that retail margins will be a bit unfavorable. It's a little bit unfavorable across the full year.
Operator: And our next question today will come from Jake Bartlett of Truist Securities. Please go ahead.
Jake Bartlett: Great. My first is I wanted to dig into some of these more -- these atypical items and make sure I understand what's going on. For the gift card breakage, I was just looking quickly last two first quarters, it was a positive. So, this seems to be something that is a positive in the first quarter in general. And maybe just kind of confirm that. The $6 million, does that contribute -- I mean, my math would be that slightly less than 1% on same-store sales for the restaurant side. I just want to make sure that gift card breakage gets reflected in same-store sales. And then I had some follow-up questions on the other side.
Craig Pommells: Well, let's start on the gift card. The same-store sales as reported do not -- are not impacted by the $6 million. So, the same-store sales, as reported, are really driven by kind of store level activity. The $6 million gift card breakage benefit is something that we hold at the corporate level. So, as you think about kind of what's really happening to the run rate for the stores, that's not a factor. It's certainly a factor in the overall total company sales and it's a factor in EBITDA for the quarter. And as we noted, that is largely a timing impact as most of that is going to be offset in Q2.
Jake Bartlett: Got it. Okay. That makes a lot of sense, and that's helpful. On the other side, I think there's about $9 million in atypical costs that you mentioned. It doesn't look like any of those costs are kind of being added back to adjusted results. So, those are flowing completely through to your adjusted results. So, I guess the net impact is a drag on EBITDA. While you have the $6 million benefit from the gift card breakage, there's $9 million of a headwind. Is that the right way to think about it? Or am I getting that right that none of that $9 million was actually -- okay. Those $9 million...
Craig Pommells: Headwind is about $9.3 million. And all of those are included as normal operating costs in our adjusted EBITDA, and as all the costs are included in GAAP numbers, so they are included in both. And there is a partial offset in the quarter of the $6 million. So, it's a net negative or net drag to EBITDA of about $3 million -- $3.3 million, and we factor in all of those.
Jake Bartlett: Got it. And just to kind of close the loop on these typical items, in the second quarter, the $6 million should reverse from the benefit side. But anything reversing out on the cost side? Are there any offsets to the what looks to be a $6 million drag in the second quarter for EBITDA?
Craig Pommells: We are not aware of anything at this time, no. So, at this point, the $6 million will be a drag to Q2, and we don't expect any other partial offsets, certainly nothing from any of the items that we mentioned earlier.
Jake Bartlett: Okay. So, net-net, you kept your EBITDA guidance, but there's a $3 million headwind that you hadn't expected in the first quarter.
Craig Pommells: Exactly right. I think that's the right takeaway from all of that. Appreciate it.
Jake Bartlett: Great. And then just one question on the operations and it's on your remodel program. I guess I'm a little confused with some of the terminology. I just want to make sure I get it right. I'm looking at the last quarter's earnings call, and you talked about the three kind of high, medium, low options, and then you've developed a fourth option, which you're calling a refresh. Now it seems like you're referring to kind of refreshes separately from the four different tiers of remodel. So, I just want to make sure I understand the difference between a refresh as you're calling it now and the four tiers of remodels that you're testing. And I'm also wondering if there's anything more you can share about the relative performance of each. It sounded like -- one of my takeaways from the last call is that the refresh or the less intense remodel was actually having a really good result, and that might end up driving maybe a lower cost of the program overall. I guess my question is whether is that bearing out, that you're finding that maybe some of the lighter investments is actually driving the most attractive returns?
Craig Pommells: Well, let me talk about the number of stores, because I agree that it is -- it can get a little confusing. The high, medium and low or the traditional kind of remodels, there are about two to three of those in the plan for this fiscal year. That's our current projection. The refresh are an incremental, over and above, 25 to 30. So, both the high, medium, low as a group are 25 to 30, and refresh are an incremental over and above 25 to 30. And then in terms of performance, I think the key takeaway here is '25 for us really is a test-and-learn year. And we've structured a lot of this investment to really understand the economics and the highest level of efficacy of the spend around the program. And we really are not biased to an answer one way or another. The facts are what's going to drive the decision now. No one wants to spend more, if you don't have to spend more and so on. We're excited about the performance from the initial four, but that's only four. We have 25 to 30 of high, medium, low and incremental 25 to 30 for the infills. When it's all said and done, it will likely be a combination of those, and we're working through understanding the math to determine what the right combination is. And if it ends up being lower, then we'll lean lower. But if it ends up being higher, we'll lean higher. Really the math is going to have to drive, the return on the investments, exceeding the appropriate hurdle rate set by the Board, is going to drive what the final answer is there.
Operator: Our next question will come from Andrew Wolf of CL King. Please go ahead.
Andrew Wolf: I actually have a follow-up on the $6 million as well in the breakage. If you take that out of sales and flow it through, you'd get to about a flat margin year-over-year on restaurant level? Or were any of the $9.3 million cost, Craig, that you called out, were any of those -- would any of those be in the restaurant-level expenses, or were they all in G&A? I'm trying to...
Craig Pommells: With the exception of $3.3 million, all of it was at the restaurant level. So effectively, $3.3 million was in G&A and $6 million was at restaurant level. So, those two restaurant-level pieces simply offset each other.
Andrew Wolf: Okay. That's what I was getting at. Great. All right. I want to get to the restaurants. On the menu, when you talking about menu items, you talked about some new items and some LTOs and an LTO that might become a new item. I just wanted to get a sense, it sounds like there's -- it's going quite well and there's good guest reception. Is that because the Company is taking kind of more shots on goal? Or is it there's something like improved in the innovation process so that you're putting better items on the menu that are resonating better?
Julie Masino: That's a great question, Andrew. I would say it's probably a little bit of both, in all honesty. So, in this last year, when we were building the plan, we spent a lot of time talking to our guests, talking to our team members and really digging into what will help Cracker Barrel regain its leadership position, and what do people love about Cracker Barrel, right? People love our scratch-made, home-style booking. And so, things like the Hashbrown Casserole Shepherd's Pie are so in our sweet spot. It's something that only Cracker Barrel could make, right? It builds on our signature Hashbrown Casserole, it introduces something that's comforting, that's really warming and lush as like the Shepherd's Pie and similarly with our Pot Roast as well. I'm sorry, do you hear that feedback? I want to make sure I'm clear.
Andrew Wolf: Just for your last sentence.
Julie Masino: Okay. So, these items are uniquely Cracker Barrel, and they're -- and our guests are loving them, right? So, like I said in my prepared remarks, we hadn't planned for Pot Roast to be an everyday item. But people loved it so much, I mean we literally ran out of it. And they said, gosh, our team members said, you really need to put this on the menu every day. I could sell this every day if it were on the menu every day. So, we really listen to our guests, listen to our team members move that item through. But I will tell you, the pipeline, to the second part of your question, is more full. The team, the culinary team, who's got a new leader over there, they are working really hard to find those items that are signature Cracker Barrel, things that only we can do that are really going to resonate with guests, as we invite more people into the brand, we're also opening that aperture, widening our appeal and making sure that the people who love us continue to love us, but that we're inviting more people in and letting them know that Cracker Barrel is here for them and a really great option for them for breakfast, lunch or dinner every day.
Andrew Wolf: Okay. I was going to get to that second part, you kind of -- so some of the innovation is to drive trial and some of it is to maybe increased repeat business?
Julie Masino: Yes. All of the above, right? And we've got innovation across the day part. As I mentioned on the prepared remarks, we brought back our Country Fried Turkey for Q2, and that's actually sold so well that we're out of that early again. So, we're really driving some business in these LTOs. But then we introduced a new item, the Cinnamon Swirl French Toast, which has also been a great item. So, it's a little bit of both, Andrew, honestly, as we really try to drive the business with people who love us, invite new people in, and really just return Cracker Barrel to strength.
Andrew Wolf: And just the last thing, I mean, on new items, driving new traffic, new customers and trial, probably not intentionally, but you didn't get too much in what's new with marketing in this period, although you did -- you were asked about the loyalty. But I think you have a new agency and so on. Would it be fair to say you might want to skew more towards increased usage by existing customers until your marketing is more ramped up? Or can you -- can the menu speak for itself and word of mouth and that kind of thing?
Julie Masino: No. We continue to evaluate our marketing mix. We've got a brand new CMO who is about two quarters in at this point in time. She's off to a great start, and her team is rocking and rolling. They are continuing to look at ways to reach our guests. Remember, the first pillar of our transformation is about the brand and refining that and how we show up for our guests, how we communicate with them. If you follow us on social in some of those places, you'll see us starting to show up in some different ways. So, they continue to refine the mix, the messaging, because it's not just where you're saying it, it's also what you're saying and who you're saying it to. So, we can get even more targeted than we are today. Loyalty helps us do that as well. So, it's bringing all of those things together, with the menu, with the experience, in ways that people want to experience the brand. Remember, that's really -- that second imperative when you step back and think about it, our imperatives are about driving relevancy, which is market share, driving that food and experience that guests love, and driving profitability. And those first two really work together to say, how do we communicate with people the way they want to be communicated, give them the experience that they want? That's literally through the communication cycle as well as the in-store experience or the to-go experience or the catering experience, and really make sure that we're delivering on all pieces of that. So, it's marketing. It's also the way that we show up in store and the way that we operate. They all have to come together to really drive that business.
Andrew Wolf: Got it, and congratulations on the progress so far.
Operator: Our next question will come from Todd Brooks of the Benchmark Company. Please go ahead.
Todd Brooks: Quick question, Julie. You mentioned in your comments that you saw a strong average check growth in the quarter. Can you share the magnitude of check growth with us?
Julie Masino: Yes. I actually am going to let Craig take that one because he loves talking about check, Todd.
Craig Pommells: Yes, I'll start, Todd. Overall, check was up 5.8 for the quarter, so 4.7 of that was from price, and then we have favorable mix of 1.1. And let me kind of unpack that a little bit. Keep in mind, we've been taking the strategic pricing effort. So, one concern there is, how does that flow through? Well, the good news is the strategic pricing is flowing through really well. We're seeing that across a number of metrics, and we're getting this favorable mix. The favorable mix in a lot of ways is coming from this effort around the dinner. It's one of the first things that Julie did when she started, if you kind of diagnose what's going on with the business, why is the traffic been down so much, and we actually performed relatively well, fairly well, at breakfast, but we had lost a lot of share at dinner. And so that was the first stream of work. We kicked off this really big test. And then we have rolled out a number of those components. One of the benefits there is we're seeing favorable mix just as dinner as a whole improves because it's a higher check, higher margin occasion, and a number of the items that we've added have been on kind of the higher end of the barbell. And so that's helped to drive some favorable check mix as well.
Todd Brooks: That's great. That's really encouraging. And then knowing that Sunrise is out there at $7.99 and Early Dine at $8.99, would you share with us what the value mix is? How many -- what percent of customers are accessing through those two platforms to drive their visit to Cracker Barrel?
Craig Pommells: It's interesting, we actually, we look at it, but we don't really look at it that way because so much of our menu is just a great value overall. I mean keep in mind, the numbers have moved a little bit as the quarter has passed, but towards almost recent check average is about $15 at Cracker Barrel. And casual dining, I believe, is somewhere in the $27 range. So, whereas a lot of folks have just really a much more dramatic barbell, so they talk about what their mix is on discounts, so much of our menu is a great price every day, it just wouldn't be -- it wouldn't be meaningful. What I can tell you is the early line continues to grow. It stabilized a bit more recently, but it's grown a lot over the quarters. And the Sunrise is available -- it's not only -- it's a breakfast item, but it's available all day. So, overall, we continue to be really happy. We are not getting any meaningful negatives from the work that we have done on the check.
Julie Masino: I would say, Todd, two things, that's really well said by Craig, but two other things to point out on value. Remember, we've done a lot of work with our guests. And while price is important, right, anybody will tell you price is important, what they've actually said to us is that the absolute price is not the most important thing to them. They actually care about abundance of our home-cooked food, right? So, we're making sure that in everything that we put forward, that that is a key component of what we do. One reason why I believe the Pot Roast and the Hashbrown Casserole Shepherd's Pie are resonating so much, I challenge you, I challenge everybody in this call, go try to eat that whole Hashbrown Casserole Shepherd's Pie, it's ginormous. And so, people really see the value in that I see so many people, when I'm out in restaurant, leave with a go-box of food for the next day or the next meal or lunch or whatever. So, value for us is about -- it is about the absolute price, but it's also about that abundance. The second thing I'd point out is remember, we also deliver value through our loyalty program. And as we continue to sign up new people and really drive traffic through that program, that's another way that we deliver value. So, we deliver value in so many ways here at Cracker Barrel. Craig's point about our absolute check is a really important one to keep in mind. But then add in abundance, add in loyalty, and we really, I think, are there for our guests in a lot of really very real ways.
Todd Brooks: Those are all very germane points. And I probably should have asked the question this way, it might be the way that you guys really do look at this. You talked about value scores improving with your customers. Would you share with us how much value scores have improved year-over-year? That might be the holistic way to look at all these efforts together.
Craig Pommells: Let us take that as a follow-up, Todd, because we've actually changed our -- we have a full year of our new value metric, but I don't know that we're fully prepared to share the exact amount externally as yet. We look at our Google Ratings as a way to evaluate the overall guest satisfaction inclusive of value. We also have a really great tool internally that we get a lot of participation, and then we've seen value scores improve as well. However, we have not shared that externally as yet. So, we want to make sure we do that in a more comprehensive way.
Operator: Our next question will come from Katherine Griffin of Bank of America. Please go ahead.
Katherine Griffin: First, I wanted to ask about the quarter trends, in the first quarter, the outperformance versus the casual dining industry. Did you see that cost in each month of the quarter? And then were there any call outs as far as maybe where outperformance was strong by region? Or was it also consistent?
Craig Pommells: Katherine, I'll start. From a regional perspective, relatively steady. We were a bit stronger in kind of the Northeast, Midwest, and a bit softer in Texas. But other than that, relatively steady. In terms of trends, you did see general improving trends in the industry over the past quarter or so. Our performance got a little bit better from August, but September, October was relatively steady between the two. So, nothing dramatic there. What we are seeing is kind of a gradual, steady improving trend over time, particularly at dinner. And we're very pleased with that.
Katherine Griffin: Okay. That's helpful. And then I wanted to ask, I guess, a follow-up to an earlier question just about the different, I guess, tiers of remodel and then refreshes. As you're a few months into the strategic turnaround, I'm curious if there are initiatives that are resonating better than you had expected or maybe better than others. And has that changed at all the way that you're thinking about the timing of or how you're allocating the investments into the turnaround?
Julie Masino: Thanks, Katherine. This is our first -- we shared this during some of the proxy meetings with our shareholders. This is really our first quarter reporting against the transformation plan. So, it's an exciting time. It's also early. So, while we've progressed a lot of initiatives across the five pillars and even across the enablers at the bottom, I would say still really early days. What we're really proud of is a couple of the initiatives have moved out of what we call sort of transform and into run. When we think about the changes that we made to the Thanksgiving strategy that Craig talked about earlier in our overall catering business, those are now sort of run the business. When we think about pricing, that is now sort of run the business. That's a way that we are actually just ongoing. It's not this transformation initiative anymore. So that's what we're really proud of when we think about kind of where we are in these early stages, that some of these things are now just how we do business instead of these new transformation agendas. Loyalty is another one where we continue to just make that part of how we do business and how we're thinking about driving traffic and interacting with our guests and delivering value to them, as I mentioned earlier. So, it's still really early days. With your specific question about the remodels, we're excited about where we are there. And I know everyone wants us to say, this is how many we're doing of the high, the medium and the low. We just want to be really good stewards of capital and make sure that we are getting the algorithm right and really understanding not only how guests are reacting to the remodels in terms of their traffic, but also how our team members are working in them and are there things that we can do to improve their experience. So, it's really a year for us to continue to learn, and we're excited about that. So early days, Katherine, thanks for the question, but good early results.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Julie Masino for any closing remarks.
Julie Masino: Thank you all for joining us today. Before closing, I want to take this opportunity to wish everyone a happy holiday season and express my sincere appreciation to our 70,000-plus team members for their hard work and dedication day in and day out, particularly in these last few weeks over the Thanksgiving holiday. Your efforts and hard work are paying off and have supported a good start to our fiscal year. We look forward to providing updates on our progress on our next call. Thank you, and happy holidays.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.